Operator: Ladies and gentlemen, good day to everyone, and welcome to the Vipshop Holdings Limited Fourth Quarter and Full Year 2015 Earnings Conference Call. At this point, I would like to turn the call to Ms. Millicent Tu, Vipshop's Director of Investor Relations. Please go ahead.
Millicent Tu: Thank you, operator. Hello everyone and thank you for joining Vipshop's fourth quarter and full year 2015 earnings conference call. Before we begin, I'll read the Safe Harbor statement. During this conference call, we will make forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 that are based on our current expectations, assumptions, estimates and projections about Vipshop Holdings Limited and its industry. All statements other than statements of historical facts we may make during this call are forward-looking statements. In some cases, these forward-looking statements can be identified by words or phrases such as anticipates, believes, continues, estimates, expects, intends, is/are likely to, may, plan, should, will, aim, potential, or other similar expressions. These forward-looking statements speak as only of today and are subject to change at any time, and we have no obligation to update these forward-looking statements. Joining us on today's call are Mr. Eric Shen, our Chairman and Chief Executive Officer and Co-Founder and Donghao Yang, our Chief Financial Officer. At this time, I would like to turn the call over to Mr. Eric Shen. Shen-zong?
Eric Shen: Good morning and good evening everyone. Welcome to our fourth quarter and full year 2015 earnings conference call. 2015 was an exciting year for us, marked by many achievements. First of all, we topped RMB40 billion in annual sales, representing 74% growth. Secondly, we reached nearly 37 million active customers by the end of this year, representing 51% growth. And third, customers grew their average spend on our platform by 15% to nearly RMB1,100 per user. Turning to our quarterly progress, we reaccelerated our growth in revenue, active users and total orders by optimizing marketing dollars more efficiently and further investing in promotion events. Our goals going forward are to continue to expand market share and acquire new users. To achieve this expansion, we have a strategy aimed at both enhancing the user experience to improve the mobile offering, product selection, consumer financing, logistics, and so on; and optimizing marketing spend and promotions on our platform. With the strong success of our platform so far, supported by our robust growth strategy, we remain confident in the future of our Company. At this point, let me hand over the call to our CFO, Donghao Yang, so that he may discuss our strategy in more detail and go over the financial results.
Donghao Yang: Thanks, Eric, and hello everyone. We are very pleased with our performance in the fourth quarter and full year 2015. As Eric mentioned, during the fourth quarter, we were able to simultaneously reaccelerate growth in revenue, active users and total orders, while maintaining stable customer acquisition costs and marketing expenses as a percentage of total revenue. Furthermore, even as our gross margins sadly contracted due to increased promotional activities, our operating margins strengthened to 5.8% from 4.5% in the prior-year period. The resilience of our operating margins, through increases in absolute expenditures on promotional and marketing activities, demonstrates the powerful operating leverage we have created with scale. As we further optimize our investments in marketing and promotional activities to drive top-line growth, we expect this virtuous cycle to strengthen and lead to further economies of scale that bolster operating efficiency. As discussed, platform expansion is a key goal of ours going forward, which we aim to achieve both through optimizing marketing spend and continuing to enhance the user experience through various initiatives. One such initiative is mobile product enhancement. In the fourth quarter we continued to optimize the mobile shopping experience on our platform, which now accounts for 82% of our total GMV, up from 66% a year ago. The rapid ascension of mobile share of our GMV further validates the appeal of our retail offering over mobile screens. Another part of our strategy to enhance the customer experience is to expand and diversify product selection. Our emerging cross-border offering fits right into that strategy, by providing an ecosystem of foreign brands to offer their unique products to Chinese consumers. Our cross border business continues to gain momentum and has reached roughly 5% of GMV. We believe that this figure will continue to steadily increase in 2016, and that this segment has solid potential to be a strong growth driver in the future. In an effort to boost customer spending, we have launched financing programs for suppliers and customers alike. Our supplier financing has grown rapidly since its inception. As of December 31, 2015, our total balance of credit outstanding to suppliers was about RMB600 million. Our consumer financing program was just recently launched last December, and though it is still nascent, it is growing rapidly. As of December 31, 2015, the total balance of credit outstanding to customers was approximately RMB200 million, a figure we expect to rapidly increase as more consumers establish credit with us to further expand their purchasing activities. In order to control default risk, we have established a thorough credit check system to support us in expanding the buying activities of credit worthy customers on our platform. On the logistics side, we have continued to build out a strong infrastructure of warehouses and a network of invested delivery companies to support and enhance our order fulfillment capability. At the end of 2015, our total warehouse capacity reached 1.6 million square meters, and our in house and invested last mile capabilities recorded over 83% of the orders on our platform. In 2016, we intend to add roughly 500,000 square meters of warehousing capacity. Looking ahead, we will continue to build upon our unique and proven offering, as well as enhance the overall customer experience in order to further expand our platform and deliver enduring value to our loyal shareholders. Now, moving on to our quarterly financial highlights. Before I get started, I would like to clarify that all the financial numbers presented today are in renminbi amounts and all the percentage changes refer to year-over-year changes, unless otherwise noted. Total net revenue for the fourth quarter of 2015 increased by 65% to RMB13.9 billion, primarily driven by continued robust growth in the number of total active customers and total orders, as well as the increasing revenue contribution from our mobile platform. Excluding the impact of the group-buy business and Lefeng, the number of total active customers and total orders, the Vipshop's core flash sales business increased by 76% and 80% year-over-year, respectively. On the mobile platform, the number of total active customers and total orders for Vipshop's core flash sales business increased by 124% and 126% year-over-year, respectively. Gross profit for the fourth quarter of 2015 increased by 60% to RMB3.35 billion, primarily driven by the expanding scale of the business. Gross margin for the quarter was 24.1% as compared with 24.9% in the prior year period. The decline in gross margin is primarily attributable to increased promotional activities and sales to drive user and order growth on the platform. Fulfillment expenses for the fourth quarter of 2015 were RMB1.26 billion, as compared with RMB789 million in the prior year period, primarily reflecting the increase in sales volume and number of orders fulfilled. As a percentage of total net revenue, fulfillment expenses decreased to 9.1% from 9.4% in the prior year period, primarily reflecting the scale effect associated with the growth in total net revenue. Marketing expenses for the fourth quarter of 2015 were RMB715 million, as compared with RMB421 million in the prior year period, reflecting our strategy to drive long term growth through increasing investments in strengthening our brand awareness, particularly for our mobile application, attracting new users and expanding our market share. As a percentage of total net revenue, marketing expenses were 5.1%, as compared to 5% in the prior year period. Technology and content expenses for the fourth quarter of 2015 were RMB322 million, as compared with RMB236 million in the prior year period, reflecting our continued efforts to invest in human capital and advanced technologies such as data analytics, which can help improve the ability to predict consumer behavior and further enhance user experience. As a percentage of total net revenue, technology and content expenses decreased to 2.3% from 2.8% in the prior year period, primarily reflecting the scale effect associated with the growth in total net revenue. General and administrative expenses for the fourth quarter of 2015 were RMB421 million, as compared with RMB334 million in the prior year period. As a percentage of total net revenue, general and administrative expenses decreased to 3% from 4% in the prior year period, primarily reflecting the scale effect associated with the growth in total net revenue, driven by the growing scale of our Company's operations and decrease in fulfillment, technology and content, and general and administrative expenses as a percentage of total net revenues, our income from operations increased by 114% to 1802 [ph] million for the fourth quarter of 2015. Operating margin increased to 5.8% from 4.5% in the prior-year period. Non-GAAP income from operations, which excludes share-based compensation expenses, impairment loss for investments and amortization of intangible assets resulting from a business acquisition and equity method investment, increased by 96% to RMB966 million from RMB493 million in the prior-year period. Non-GAAP operating margin increased to 6.9% from 5.9% in the prior-year period. Exchange loss was RMB73 million, as compared to 20 million in the prior-year period, primarily driven by the weakening value of the RMB relative to the U.S. dollar. Income tax expense was RMB163 million, as compared to RMB61 million in the prior-year period, primarily due to the increase in net income before taxes, as well as an increase in the effective tax rate over the prior-year period. The lower effective tax rate in the prior-year period was primarily due to the utilization of a tax loss carry-forward and the recognition of catch-up tax savings for a subsidiary, which was approved for preferential tax treatment. Our net income attributable to Vipshop's shareholders for the fourth quarter of 2015 increased by 45% to RMB506 million from RMB349 million in the prior-year period. Net margin attributable to Vipshop's shareholders was 3.6%, as compared to 4.2% in the prior-year period. Net income per diluted ADS increased to RMB0.84 from RMB0.58 in the prior-year period. Non-GAAP net income attributable to Vipshop's shareholders, which excludes share-based compensation expenses, impairment loss of investments in an equity affiliate and other investments, and amortization of intangible assets resulting from a business acquisition and equity method investments, increased by 61% to 741 million from 460 million in the prior-year period. Non-GAAP net margin attributable to Vipshop's shareholders was 5.3%, as compared to 5.5% in the prior-year period. The contractions in both net margin and non-GAAP net margin attributable to Vipshop's shareholders were primarily attributable to the relatively large exchange loss in the period as well as the large increase in income tax expense. Non-GAAP net income per diluted ADS increased to RMB1.22 from RMB0.77 in the prior-year period. As of December 31, 2015, the Company had cash, cash equivalents and restricted cash of 3.32 billion and held-to-maturity securities of RMB1.81 billion. For the fourth quarter of 2015, net cash from operating activities was 1.61 billion. Looking at our business outlook for the first quarter of 2016, we expect our total net revenue to be between RMB11.8 billion and RMB12.3 billion, representing a year-over-year growth rate of approximately 37% to 43%. Lastly, in the previous earnings we announced that the Board of Directors approved a share repurchase program whereby we may purchase up to $300 million of our ADS over the next 24-month period. As of December 31, 2015, the Company had repurchased approximately $130 million in aggregate of its own ADS. It is worth noting that there were slight upward adjustments of our diluted earnings per share numbers and change of the weighted average number of shares used in calculating diluted earnings per share in our earlier press release. The revised version of our earnings reflecting the accurate number will be included in our current report under Form 6-K, to be furnished to the SEC. Based on our calculation, for the fourth quarter of 2015, net income attributable to Vipshop's shareholders per diluted ADS increased to RMB0.84 from RMB0.58 in the prior-year period. Non-GAAP net income attributable to Vipshop's shareholders per diluted ADS increased to RMB1.22 from RMB0.77 in the prior-year period. For the full year of 2015, net income attributable to Vipshop's shareholders per diluted ADS increased to RMB2.65 from RMB1.40 in the prior year period in the prior year. Non-GAAP net income attributable to Vipshop's shareholders per diluted ADS increased to RMB3.66 from RBM2.05 in the prior year period. With that, I would now like to open the call to Q&A.
Operator: Thank you, sir. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions]. We have the first question from the line of Eileen Deng. Please ask your question.
Eileen Deng: Hi, management. This is Eileen Deng standing in for Alan Hellawell this evening. I have three quick questions. Firstly, do you think the inventory in this quarter can be largely adjusted in the March quarter taking into account the Chinese New Year effect? And secondly, are we likely to increase the supplier financing? And how do you measure the default risk? And lastly, how intense will the rebating and couponing will be in the future? Thank you.
Donghao Yang: Well, thank you very much for your question. I guess your first question is related to what's happening in the macro environment, right the total inventory out there? Well, we do not have enough information to give an answer to that question, but we believe that in China, especially when the economy -- the growth of the economy is slowing down, there should be more and excess inventory out there. So it would be a good thing for a discount retailer like Vipshop. Your second question, supplier financing. First of all, we have built a very capable team. We have hired people from traditional commercial banks who have tons of experience working with suppliers or in supplier financing business. And secondly, we have a lot of information about our own suppliers, so we know pretty much about their creditworthiness. And thirdly, we have our for the factoring business, it's the money that we owe to suppliers that we use as a guarantee for the loans. So it's very safe. And for other pure credit loan business, sometimes most of the times we have like inventory in our warehouse from that supplier that we can use as a guarantee for the loans. So, overall our supplier financing, the default risk is very, very low. And third question?
Millicent Tu: Just the rebate, higher couponing.
Eric Shen: [Foreign Language] Okay. So, Eileen, for the rebate and couponing, we will control that and keep it at a reasonable level.
Millicent Tu: Operator, we are ready for the next question please.
Operator: Thank you, ma'am. We have the next question from the line of Vivian Hao from JPMorgan. Please ask your question.
Vivian Hao: Hi, Shen-zong, Donghao. Thank you for taking my question. I have two questions here. First of all, our first quarter guidance implies for the first time a quarter-over-quarter drastic decline of about 15%. So we're trying to understand, apart from seasonality, is there any other key factors driving this, and if we have seen any competitive environment deteriorating in this space? I guess in general, trying to understand what is our key growth strategy for 2016. Probably I'll ask you the second question after your answer.
Donghao Yang: Okay. Well thanks Vivian, for your questions. Well, our Q1 guidance is lower than our Q4 actual revenue number, actually because of a few reasons. First of all, in Q4 we ran a couple of pretty big promotion, including the Double 11 promotion and our anniversary sales promotion on December 8. But in Q1, we don't have any big promotions similar to that scale. And secondly, as our business continues to grow, the base effect determines that we cannot expect our growth rate to be as fast as in the past.
Eric Shen: So, Vivian, to add to Donghao's answer. We do not see any intensifying or pressure in terms of competition in the first quarter. And as you know, the Chinese New Year stands right in the middle of the quarter. So it would be -- it wouldn't be such a good idea to have -- to arrange such a big scale of promotion during that period. So we're treating Q1 as a quarter to transition smoothly for our operation. So for 2016 we will grow again at full speed to reaccelerate our top line growth and user growth. And we still feel very confident and there is a lot of market opportunities ahead for us in terms of market share gain.
Operator: We have the next question from the line of George Meng from Goldman Sachs. Please ask your question.
George Meng: Hi. Good evening, Shen-zong, Yang-zong and also Millicent. Thank you very much for taking my question. I have two questions. One is on the revenue side. So we see nice new customer acquisition in the fourth quarter. Can you maybe elaborate a little more about your change to your marketing strategy, as you mentioned in the prepared remarks? For example, what percentage of your advertising spending is now on branding versus performance, and how has that changed from before? And do you see any change of marketing strategy going forward? And also I think because previously most of your revenue is driven by new customer acquisition, of course we have different cohort there. Can you actually give us some update on the cohort? For example, do you see any difference in user behavior or other metrics such as churn rate and also ARPU of your more recently acquired users. For example, the users acquired in 2015, compared to the users acquired in the older days when you relied more on word of mouth? That's the first question. Thanks.
Eric Shen: So, George, in terms of marketing strategy, it was pretty much very similar compared to what we did in the past. But of course we were much more aggressive in terms of absolute dollar amount on this marketing front. But we do have internally a fixed or some sort of allocated percentage in terms of personalized marketing, branding and other channels. So we have noticed that for our newly added customers, they tend to be younger. But obviously, on our platform, we do have customers who were born in the '70s, '80s and now '90s. And obviously, and understandably, people who were born in the 90s, they are younger, and therefore their average spend is a little bit smaller compared to the people who were born in the '70s or '80s. So, of course overtime, as I'm sure their ARPU and their average spend can be increased.
Operator: We have the next question from the line of Binnie Wong. Please ask your question.
Binnie Wong: Hi management. Thank you for taking my questions. My first question is on the user growth. It's good that we see it accelerated this quarter. I understand you talk about in terms of the marketing strategy we will have more targeted ads. Just want to understand that, in 2016 any other new initiatives we have on driving the user growth and how should we expect the growth this year? And second question is on the cross border ecommerce. I think on the press release you have been saying that this would be a solid growth driver in the future. But I was just thinking that, would that be also cross border ecommerce, different of the higher fulfillment costs there? Would that be a margin drag maybe in the near-term, or how should we see the growth of this segment will impact our margin profile?
Eric Shen: Okay. So our priority is always on growing top line, growing new users. And we have been and will continue to invest in all kinds of the marketing channels available, including new media.
Donghao Yang: Well, the cross border business, you're right, is one of our growth drivers in the foreseeable future. Margin wise, our cross border business is already profitable. Although its margin, its profitability is not as good as our other businesses, but I don't think there's going to continue to be a drag to our overall profitability going forward. And also, now our cross border business is growing very fast, but it's still relatively a small business in terms of the percentage of the total GMV. As we disclosed in our earnings earlier in Q4, our total cross border business was only about 5% of our GMV. And also cross border business has one very big advantage, which has helped us grow new customers and also retain old customers.
Eric Shen: [Foreign Language]. So one thing to add, Binnie, is we talked about the marketing strategy and the investment channels. But for 2016, another way to add to our user growth initiative would be to optimize our suppliers and optimize the merchandizing. This will be beneficial to acquire new users, at the same time increase the overall quality for our existing old customers.
Operator: [Operator Instructions]. We have the next question from the line of Chi Tsang from HSBC. Please ask your question.
Chi Tsang: Good evening. Thank you so much for taking my questions. I have two questions. The first question is; we've seen very strong customer growth in the fourth quarter. I was wondering if you could help characterize the quality of the customer growth in terms of, geographically where they're coming from, what they're purchasing? Are they -- is it mostly driven by cross border? Any color would be helpful there. Secondly, in the sector we've seen more deal making, some privatizations. I was wondering if Eric can share with us his view on the potential of combining with a larger player to gain more scale. Thanks so much.
Eric Shen: [Foreign Language] So Chi, in terms of the customer quality, this is very similar compared to what we had in the previous or prior cohort. But, as Eric mentioned, in the previous question, he did say that we have seen an increase in the number of customers that were younger, and particularly born in the '90s. So when they are young, obviously their ASP is a little bit lower, but not too much lower compared to the other age-group type of consumers. [Foreign Language] We don't have any such plans at the moment in terms of privatization. Nor do we have any plan at this moment to merge --
Donghao Yang: Merge with large players.
Millicent Tu: Yes.
Operator: We have the next question from the line of Natalie Wu from CICC. Please ask your question.
Natalie Wu: Eric just mentioned for those buyers who born after 1990s, actually those ARPUs could be lower. But just wondering what about the loyalty, let's say, retention rate, average number of orders placed, maybe compared with those who was born in seventies and eighties? Also actually your GP, gross profit margin is down a little bit. Just wondering is it due to the revenue mix just a change, or just due to the actual coupon that might be stand-out in the fourth quarter? And how should we look at the trend of that gross profit margin in 2016?
Eric Shen: [Foreign Language] So logically, the repeat purchase for the people who were born in the '70s is better than the '80s and these were better than people who were born in the '90s.
Donghao Yang: Okay. Well, I'll take your second question about our margin in Q4. Well, our gross margin was slightly lower compared to a year ago in Q4, mostly because of the promotional activities that we did in the quarter. But going forward, we still be very careful about how aggressively we want to use our coupons and other rebates. So we do expect our gross margin, in the coming quarters, to be relatively stable compared to the past few quarters.
Operator: We have the next question from the line of Evan Zhou from Credit Suisse. Please ask your question.
Evan Zhou: Hi. Good evening, Donghao and Millicent and Shen-zong. Thank you for taking my questions. I have two questions. First is on our exponentially new directions and initiatives such as the new categories for -- I also heard that we are planning to launch the private label for ourselves. So just wondering if you can share any color on that front, it would be very helpful. [Foreign Language]. The second question is regarding the cash flow. Just wondering, we still have pretty decent plan on expansion of our warehouses and also we're expanding our finance initiatives as well as also having bought a land and also bought a new headquarter. So just wondering, in terms of cash need, is our operating cash flow enough for us to kind of sustain these CapEx plans for the next couple of quarters?
Eric Shen: [Foreign Language] So for the benefit of everyone I will quickly summarize Eric's answer. In terms of categories expansion, we will continue to focus on our core categories, in particular tier one categories for such as apparel, handbags, shoes, followed by beauty, mom, home goods, etcetera. A lot of brands expressed a lot of interest in diversifying and deepening cooperation with Vipshop. They can supply custom made channels for Vipshop. So at this moment we do not have plans to go into the private label business.
Donghao Yang: Okay, Evan, let me take your second question about cash flow. First of all, our cash flow is very, very strong. In Q4, we had an operating cash flow of more than RMB1.6 billion in this one quarter. And secondly, some of the CapEx items that you've mentioned, were one-time items. For example, we spent a lot of money on the piece of land where we're going to build our future headquarters. So that's a onetime item. And also to have our own headquarters, office space in the future will help us save costs in the long term. And you also mentioned the cash needs from our financing activities, including supply financing and consumer financing. And there are solutions to help us finance those businesses. For example, in the market there have been several ABS, asset backed securities' products that have been sold by other Internet companies to finance their Internet financing operations. So going forward we are very confident that our cash flow will be sufficient to support our other investment -- our CapEx operations.
Operator: We have the next question from the line of Cynthia Meng from Jefferies. Please ask your question.
Cynthia Meng: Thank you, Shen-zong, thank you, Donghao and Millicent. I have one question. Recent news reported that the Chinese government will introduce new tax regulations in April this year about the cross border ecommerce, including cancellation of tax exemption for cross border imports, and setting a limit on individual transaction amount. What does management expect this might impact due to the new tax policy? What will the impact be on your cross border ecommerce business?
Eric Shen: [Foreign Language]. Okay, so Cynthia regarding the new tax on the cross border, we haven't received any official notice. So it could be at the moment still being speculating. However, if the government do make some final changes or reforms to the tax on the cross border we do think that it's a very healthy move because perhaps it's not so -- perhaps it's one-time enables consumers to buy more lower-end in terms of pricing, cheaper products, but at the same time it opens the market for more affordable and more higher and mid-end products and merchants that come to China.
Operator: We have the next question from the line of Jin Yoon from Mizuho Securities. Please ask your question.
Jin Yoon: I think one of your competitors who reported a few weeks back said part of their GMV growth was a little bit stunted in the quarter -- in the fourth quarter due to weather. Have you seen any weather impact on your business in the fourth quarter? And, if so, is there a level of conservatism that's already built into the guidance?
Eric Shen: Okay. So overall the weather in the winter is relatively warmer compared to previous years and the weather pattern is fickle and changing regularly. It's a bit difficult to predict. Q1, if there were impact from weather, it could have impacted the previous weeks, so our guidance.
Donghao Yang: Well, the only thing we can talk about that is our guidance has already reflected our best estimate, given the seasonality.
Operator: We have the next question from Sean Zhang from 86Research. Please ask your question.
Sean Zhang: We must have done something right in Q4, not just I think improving our traditional marketing-method efficiency, but also large-scale promotion. In your consideration, which one is more important or contribute more to our reacceleration in user growth. And from that, will we draw any implications for our future growth strategy? Are we going to have more major sales events this year? And also, within your 1.6 million current warehouse capacity, what percentage of that is for co-location? And next year you have 2.1 million target for warehouse. And what percent is that for co-location in 2016? Thank you.
Eric Shen: [Foreign language] So, Sean, it's actually both. Obviously, the two major promotions that we did in Q4 was very successful, bringing in a lot of customers and, of course, orders. And, in terms of execution, I think the team has done a great job. Okay. So Sean, out of the 1.6 million square meters of warehouse space, about 0.5 million is for co-location and third-party logistics. Eric just mentioned that we will hit the 2 million square meters in the next year. And, obviously, with that 2 million, we will use whatever we can for our core business, but at the same time, try to attract more suppliers to store more inventory in our warehouses, so that we can manage those for them.
Eric Shen: [Foreign Language]. So Sean, going back to your other question, which is the promotion frequency. So we will consider and be more selective as well. There's one coming in April.
Operator: We have the next question from the line of Henry Guo from Summit Research. Please ask your question.
Henry Guo: So a question on the customer. Did you guys disclose, out of these 19.8 million customers, how many of them are new, how many of them are acquired in the December quarter?
Eric Shen: [Foreign Language]. So, as for Henry, the new customers that we added for the quarter was 8.4 million. And the repeat customer for that quarter is about 14.7 million.
Donghao Yang: But these two numbers don't add up to 19.8 million because some of the newly acquired customers in Q4 became repeat customers in that same quarter, if they bought twice or more than twice from us.
Operator: We have the next question from the line of Robert Lin from Morgan Stanley. Please ask your question.
Robert Lin: [Foreign Language]. So I have I guess, a few questions here. In terms of -- I guess I would say it comes down to the products and how you individualize for your customers, especially the new ones, the post 90s. We haven't talked about Qianximye for a while, and our products mix in terms of brand positioning. Can you update us on the number of brands you have worked with, the type of brands that you need to add for your new customer base of the post 90s, and how you intend to do that in the mobile era for in Qianximye? Second question is by city tier. Can you share with us again tier one, tier two spread versus tier three and below and how that's been trending? I believe last quarter it was about 56% in the tier one, tier two? And the third question was the share repurchase. Obviously we still have about $170 million left in our program. Any timing how we think about share repurchase, would be great.
Eric Shen: So, Rob one thing to share is we have customized a webpage for people who were born in the 90s and recommended brands that are suitable for this age group to improve the conversion rate. So looking at the current progress, it's trending well. [Foreign Language]. So Rob, yes largely it's very similar to the prior quarter, in the third quarter. So tier one, tier two altogether is 53%, up from 52% in Q3. And the remaining is from tier three and four combined.
Donghao Yang: Well, to your third question about the remaining $170 million in our share buyback program, well of course we will continue to look at the market and buyback the programs when we see there is good buying opportunity.
Operator: Thank you sir. At this time, we would like to hand the call back to the speakers for today, for any closing remarks.
Donghao Yang: So thank you all very much for taking the time to join us. And we look forward to speaking with you next quarter. Thank you.
Eric Shen: Thank you.